Octavio Alvidréz: Good morning, everyone. Thank you for joining us today. My name is Octavio Alvidrez, and I'm the CEO of Fresnillo plc. Here with me this morning, we have Mario Arreguin, our CFO. I'm joined also by our Chief Operating Officer, Tomas Iturriaga of the Central Region; and Daniel Diez of the Northern Region; and our Vice President of Exploration, Guillermo Gastelum. I would like to welcome to our full year results presentation. Before we begin, and as always, I would like to point out to our disclaimer, but I will quickly move to set out what we will cover in our presentation. I will take you through the investment proposition and some of the 2025 highlights and also our key recent HSECR initiatives. Guillermo then will go -- well, before then -- before Guillermo, Tomas and Daniel will provide an operational update from their respective regions. Mario will provide our financial update. Guillermo will talk us about resources and reserves. And then I will come back to close the presentation with some final comments and the outlook. I'm pleased with the performance of our business. As we have already reported, gold exceeding guidance and silver was in line with guidance. I believe this shows how we have stabilized our operations and are now in a strong position to capitalize on future growth opportunities. We remain, and this is going to be a continuous effort, very focused on control of the cost and mitigate the first initial signs of inflation that we see in our operations. Let's remind that in 2025, we achieved cost savings for $46 million through a number of initiatives, most of them and the majority of them in the Herradura district. But this will continue to be our focus in 2026. Of course, having the ounces and controlling the cost, even decreasing for 2 years, I would say, '24 to '25, and having in the ounces, we are enjoying the record prices and turning that into a record financial performance. In 2025, we delivered also on our mergers and acquisition strategy with the acquisition of Probe Gold in Canada. This is an outstanding asset, which added 10 million ounces of gold to our resource base, and we look forward to taking the right steps to develop this exciting project in due course. This goes along our strategy of acquiring quality assets. And in terms of exploration, we will see the Probe Gold acquisition to turn into a district for exploration for many years. Finally, we returned $950 million to shareholders in dividends, a record amount. So turning to our investment proposition. We are still the largest producer of silver in the world and Mexico's leading gold miner. We benefit from a large portfolio of high-quality assets with over 2 billion ounces of silver resources and 44 million ounces of gold resources. Let's comment that this does not include the most recent acquisition of our project in Canada, as we closed that transaction in January of this year. We have strong EBITDA margins and low costs and remain very focused on running our operations efficiently. This approach has seen us generate significant free cash flow of over $2 billion alongside very strong earnings per share, which has enabled us to reward our shareholders with strong returns in the form of dividends. As you can see, we have distributed 69% of earnings in 2025, well above our stated dividend policy. Though I should be clear, our policy remains in place. Some highlights on the financial performance. This is a record performance as we are announcing it today. Revenue was up strongly. But as you can see, our overall profitability was up sharply with significant margin improvements as we continue to focus on costs across the business so we can fully capitalize on the high precious metals price environment. And we have delivered considerable value to our shareholders, while retaining an extremely strong balance sheet. I should state here, we believe the strong balance sheet is a competitive advantage. We have generated significantly cash flow, returning value to shareholders ahead of our stated dividend policy, but we also continue to look for opportunities, which we believe will be value enhancing in the long term. And our balance sheet give us the flexibility to be able to act quickly if we feel our shareholders will be better served by other uses of capital, then, of course, we will act on that accordingly. Some few comments on gold and silver markets. We continue to see strong fundamentals driving demand for both silver and gold. As we have seen sadly this weekend, global economic instability, geopolitical tensions and trade disputes have increased demand for safe haven assets like gold and silver. We are seeing growing interest in precious metals as an investment class, which has boosted demand. Gold has hit record highs in the period, reflecting geopolitical tensions, while we are also seeing a strong underlying support from central banks. We expect these themes or aspects to continue for the foreseeable future. We have also seen increased demand not just from traditional drivers such as jewelry for silver, but in particular, in use in various industries, including electronic solar panels and automobiles, increasing industrialization has contributed to rising silver prices. And as we can see on the silver graph, I mean, it is one trend from 2018 to 2020, but increasingly use and demand from 2020 till now. So that is quite a healthy market, I would say, increased because the scarcity of silver projects also increased the foundations for this market. Finally, and most significantly, we are seeing supply constraints, as I mentioned, not only in gold, but also in silver. In short, we remain very confident in the outlook for silver and gold prices. Moving quickly to HSECR highlights. Safety is at the heart of everything we do. And as we can see in the graph, I mean, the trend is quite positive, decreasing the long-term injury frequency rates as well as total recordable injury frequency rates. But still, the two fatalities we had this last year is a strong reminder that we can -- we should continue putting across all of our operations, our policy and protocols and our philosophy, "I Care, We Care." So we continue and finally achieve a year with no fatalities. On the environment front, our work on improving our carbon emission performance is also ongoing as we work towards decarbonizing our operations, improving water recycling rates and upgrading our mining fleets. We achieved 78% renewable energy consumption in the period, ahead of our target. As I said before, we are not still increasing that target as we have some other mining projects that will increase our footprint. And therefore, that target remains at the same level that we have stated at 75%. On community relations, in particular, I would like to highlight local health campaigns where we have provided nearly 7,000 medical consultations and our new water initiatives on San Julian in partnerships with Metals for Humanity. As I highlighted before, our relationship with our communities is central to our license to operate, and we continue to make a huge contribution to our communities, both in terms of investment, employment and taxes we pay. I now would like to turn the presentation to Tomas Iturriaga and then after to Daniel. Do you want to present over there or...
Tomas Iturriaga-Hidalgo: Okay. Thank you, Octavio, and good morning, everyone. So let's move to the following page here to start giving you some color on the operations performance. I would say that accounting for the different realities of the -- and challenges of the three mines, as a whole, the Fresnillo district had a solid year, meeting production expectation and achieving relevant progress in the different projects across mines. Getting to the mine-by-mine details at Fresnillo, we managed to stop the production decline that we have seen during the past 2 years with the silver grade increasing 10% year-on-year. That offset by a throughput decrease of the same magnitude due to lower bandwidth and/or shorter stope lengths at the San Alberto, Santa Elena and Candelaria areas. I think we've made significant progress adjusting our mine operations to the new reality of the mine at depth, improved our dilution control discipline as seen in the silver grade increase year-on-year. During 2023, it's key that we advanced development of and mine infrastructure at San Mateo and San Alberto areas required to support grade and throughput increases expected in 2027 and 2028. We saw good results at Fresnillo in the reserves front with 20 million ore tonnes at almost 200 grams per tonne of silver in reserve and most of it in the proven category, replenishing mine tonnes during the year and adding some to the reserve inventory. Moving into Saucito, another solid year at Saucito in terms of production with a very slight decrease in silver production due to lower volume processed, mainly driven by lower equipment availability and some delays on ventilation robbins due to permitting. Development meters were also impacted during the year by these same factors. But as we already have obtained the permits for these ventilation robbins, and we have established a very rigorous availability program improvement with our mine equipment OEMs. We are expecting an improved 2026 performance. Lead and zinc production were both strong at Saucito, helping a good financial result at the mine. Key for this year will be the interconnection of the deepened section of the Jarillas shaft is scheduled to be completed by Q3 this year, for what we need to shut down the shaft in a couple of weeks with some impact to this year's production and cost. But very positive impact expected starting in 2027 and on. So once we have this project conclude, we should see improvements in our cost per tonne due to decreased haulage. I think the team did a very good job keeping the operations stable and under control at Saucito, which is becoming a complex mine to manage. We saw also good results in the reserve front at Saucito with almost 17.5 million tonnes of ore at above 200 grams per tonne of silver and also most of it in the proven category. Finally, on to Juanicipio, where we had another very good year of operations with production of silver and the rest of the byproduct metals right or above expected levels and considering that silver grade decrease was expected and accounted for. So it was not a surprise, good year at operations. For this year, the conclusion of and commissioning of our underground conveyor project scheduled for midyear. It's very key. We will need to shut down the San Jose del Bajio, main haulage ramp for the installation of this conveyor, which is going to impact our cost this year, but we'll see relevant cost benefits starting in 2027 and on. Good result also in the reserve for -- in the reserve front at Juanicipio. 10.3 million tonnes of ore in reserve at about 200 grams per tonne of silver, pretty much all of it in the proven category. So efficiency and improvements and cost control initiatives will continue to be a focus in the district for this year. And just to counterbalance the inflationary pressures as well as exchange rate pressures. So we will keep a very disciplined approach to cost and efficiency. And just to reiterate that I think we have a strong performance at the Fresnillo district all-in-all for the year. Thank you. On to my colleague, Daniel Diez.
Daniel Diezas: Thank you. Good morning, everybody. Happy to present the results of the operations in the Northern District, starting with Herradura. This was a very solid year in terms of results, consolidating the efforts on optimizing our operation and stabilizing first and now starting the process of growth and to optimize the installed capacity that we have for the coming years. First of all, our annual gold production was significantly above expectations, both on target and the overall guidance. As you see, this was a strong support for surpassing the company guidance for 2025. A slight decrease compared to previous year, 1.2%, but as mentioned, was above our internal expectations. So all-in-all, a very solid year in Herradura. The foundations of the results are the operational excellence and cost control initiatives that we started in 2023 and were consolidated in 2024. In particular, I'm highlighting this year, together with the efforts of the last year, mostly around the mine side of the operation. This year, in particular, we put a strong focus on optimizing the drilling patterns for increased recovery that was becoming one of the issues in our heap leach and also some enhancements on the DLP plants for throughput increase, supporting the results that we have right now. In parallel, we are executing several structural projects to optimize our operation. The first one that we started, it's the construction of the new Carbon in Column plant that we are finalizing that during this month. And in parallel, we are working on the engineering for the Sulphides Crushing Circuit and for the ADR plant that we expect to have built and operating during somewhere next year. Some capital deployment, it's included, and you see some increase in our overall capital profile. The structural projects that we are executing in Herradura, together with the sustaining, we are totalizing around $170 million for this 2026. These projects that I'm mentioning here, all of them have been strictly evaluated. All of them have between 8 months and 1.5 years of payback period, so are very accretive in terms of returns for the company is what we're trying to do, continue a very strict capital allocation policy, trying to invest in smart investments to optimize our operations. And in particular, in 2026, we have a strong focus on the district optimization. We have been explaining and communicated the view that we have in Herradura as a new gold-producing district. In this year, we are going to finalize the integrated planning, including all the assets that we are putting into production that we'll mention later on and maximization of the returns on the installed capacity that we have there. Moving to Cienega. Cienega, we had a more difficult year this year. 2024 was very successful. In 2025, we experienced some specific issues around metallurgy that hit us mostly on silver production. As you can see, we decreased from 4.8 million ounces on '24 to 2.8 million during 2025. However, the good news is that, that was specific to one zone of the mine that we expect to deplete during the first half of this year. So after that, that specific problem will be solved. In exploration, we're very happy with the results that we're having. I think we mentioned this on the previous announcement during midyear, the new discovery on a new high-grade gold zone called Victoria Complex, has been starting to deliver results starting in Q4 2025, and it's going to be the base of production for '26 and '27 in Cienega. And we also have some optionality through a few satellite deposits, in particular, one that we are finalizing to engineer and going through the permitting process to hopefully being able to complement production from Cienega. In terms of cost profile in Cienega, it's higher than expected due to lower production. However, during this year and next, we expect to be below $2,000 all-in sustaining cost with, which is still very healthy in terms of margin and still accretive as part of our portfolio. And finally, in San Julian, also a very positive year. If you recall, one of the main challenges in San Julian for us was to being able to transition successfully from the operation with two deposits and plants to only one. That has been done with very positive results. In terms of production, we have surpassed gold production and sustained silver production, which is very good. In terms of unit cost, as expected, it is slightly higher because operations in Vein is slightly more costly than operating the DOB. However, it's within the range that we set as a target that was having an all-in sustaining cost below $20, and we delivered $19.8 during 2025. So we're very happy with the results. And also on the exploration side, some very good results on exploration and new discoveries. We expect to extend the mine life in San Julian. The current life of mine goes all the way up to 2030. We expect to extend that lease for 2 additional years, and we continue to have new discoveries. So we have an operation that is well controlled in terms of cost performance and also with possibilities to extend. So it's also a good part of our portfolio. Handing over to Guillermo.
Guillermo Gastelum: Good morning, everyone. Well, a few comments about our resources and reserves. Most of it is all good news. And I would like to remind you that the number that you're looking at are current as of April 2025. So those numbers have not benefited yet from the current higher precious metal prices. We took a hit though of minus 8.5% in our silver resources due to the application of the RPEEE principle, which is being required, we formalized later on this year as a requirement for the disclosure of resources, that's a reasonable prospectus of eventual economic extraction. So we lost -- we lost some silver resources. However, on the other hand, the remaining silver resources have a much higher probability to be converted into reserves in the future. The rest of the numbers are very positive. The resources in gold grew 14%, mostly due to good exploration results at the Herradura district and at Lucerito and other projects in Mexico. On the reserve side, the silver reserves grew 9.4%, as you can see. So most of the reserves were replenished at the Fresnillo district. And also our gold reserves grew 7.4% mostly coming out from the Herradura district. So those are good numbers. And as Octavio mentioned before, this number do not include any of the new resources that we came to Fresnillo with the acquisition of Probe Gold. Highlight for 2025 was, of course, the acquisition of the Canadian junior company, Probe Gold, which has a very significant asset at one of the premium locations of the Val d'Or mining camp in Quebec, along one of these major structural breaks that cost millions of ounces of several other mines around. So the Novador project, that's a flagship asset now of Fresnillo in Canada is located about 25 minutes drive east from the Val d'Or town site. So it's an excellent location. So overall, this acquisition is adding around 10 million ounces of gold resources, and most of them are located in the Novador project, which has a good potential to be -- well, and we are going to turn it into a producing asset, expecting to deliver in 2030 -- 2032, if I'm correct. So very importantly, we have continued the work that was being carried out by Probe Gold. We are drilling right now, and we have good plans for additional geological and geophysical studies in the rest of the properties. I would like to highlight a couple of issues here that this acquisition didn't come only with Novador, but with a significant land position in two major mineralized gold belts in Quebec. It's very important to say as well that the -- after the transaction, the key personnel of Probe Gold was retained. So -- and most -- and basically all of the professionals and technicians working at Val d'Or are now working for Fresnillo. So we haven't had any issue in continuing the operations and the exploration plans at Val d'Or. Now a few comments about some highlights of what we did in 2025. We spent $175 million drilling slightly over 800,000 meters overall in all of our projects in Mexico, Peru and in Chile. As usual, we have a very strong focus on brownfields exploration. We allocated about 80% of the budget to brownfields, which is coming out of the normal, say, exploration programs by the mine exploration teams following their targets of converting resources, adding new resources to the mine operations and also infill drilling in the reserves to increase the certainty of the reserve for medium- to long-term planning. And the remaining 20% was allocated mostly in the advanced exploration projects such as Guanajuato, Orisyvo, Rodeo, Tajitos, and the emerging Lucerito project, which is delivering good results in the latest exploration. So, all of this work is supported by a significant land that we owned -- in the land concessions that we own in all the countries where we operate, we can see the numbers to the left of the triangle there. And our focus for 2026 will be an increase of the exploration budget up to $308 million. Now we're seeing a shift of more investment being put in the advanced exploration project and 35% of this total budget will be devoted to the advanced exploration projects that you see in the upper levels of the triangle, like places like Valles, Noche Buena at the Herradura district and also the Herradura underground also in Herradura and the other advanced projects I just mentioned. But also some investment will continue to be made on the early-stage projects to keep our portfolio alive and dynamic with the -- still the brownfields around San Julian and Fresnillo and some of the projects that we have in Peru and Chile and now in Canada. We'll finalize this slide just by mentioning that we continue to have the deployment of regional prospecting teams in the four countries where we operate, trying to advance new projects to make -- to show some progress or to make decisions as to optimizing the land that we control. Okay. Having said that, now we will turn into a more detailed description of our project pipeline, and we will start talking about the brownfield projects. And of course, you all know that the advanced exploration projects are now being sponsored and championed by our COOs. So, we will start out of Valles. So I will hand this over to Daniel.
Daniel Diezas: Thank you, Guillermo. As mentioned before, part of the efforts of optimizing our portfolio, in particular, on the Herradura district is about capturing short-term opportunities and increase value where possible. What you see here, and I think this is the first time in some time that we present what we're doing in the different projects, it's exactly that. What opportunities we can capture in the short term while we keep -- we remain optimizing our portfolio and our production profile in the district moving forward. To begin with, we have Valles. Valles is an underground operation that will run in parallel with Herradura. We are pretty much starting production next year. We completed the detailed engineering during the last year and the beginning of this one. The operational model is completed, the section that will be operated by contractors. So we have selected our main contractor in there as well. And the rehabilitation works in the underground mine will start on Q3 this year. We expect production to commence by mid-2027. And the expected average production will be in the range of 60,000 to 80,000 ounces per year. That will be processed through the same processing facilities in Herradura. So it's going to be an increase in gold ounces through higher grades by using the same capacity. So the capital is very limited, a very accretive project that we expect to have running for 7 years with a possibility to extend the mine life through exploration that depth is still open. So we're very excited about Valles coming online. On the right-hand side, Noche Buena. Noche Buena, as you probably know, it's an open pit that operated up to 2022, where the reserves were depleted at that point in time. Some potential remained. So we kept analyzing opportunities. And together with some good exploration results and the new price scenarios, we rerun an evaluation, and we are actually restarting operations. We expect early next year. We have completed the studies for that. We expect an average production of between 40,000 and 50,000 ounces additional for the next 8 years in Noche Buena. So another very good news for the district and for the production profile of the company. This is not included in our forecast so far. That is in the short term. And by the end of the presentation, Octavio will show a general time line of our project pipeline. But in the longer run, as we mentioned before as well, we have Herradura Underground that is the main portion of the deposit at depth. We completed conceptual studies. This is on earlier stages. So we expect production between 120,000 and 160,000 ounces per year. This is a longer implementation project. It requires some development in the open pit in order to be able to start. So we expect to start by 2031. We have scheduled the definitive PEA during 2026 as part of the exercise that I mentioned before around the optimization of the district. And with this new long-term view of prices, what is the right transition between open pit and underground and how they coexist in the long run. We expect to comment on that by midyear this year. And finally, it's a greenfield, but also part of the Herradura district is Tajitos. I will leave to Guillermo to comment a little bit on that one.
Guillermo Gastelum: Thank you, Daniel. Well, Tajitos is a disseminated gold deposit, very similar to Noche Buena. It's located in the Herradura district, as already mentioned, and it has a resource around 1.1 million ounces, most of it in the indicated category. So that's the -- for us the Tajitos as we know it now, but in 2025, we discovered additional mineralization west of it. So the district is much larger. We have -- we are exploring a vein system, which is outcropping that has very good gold grades and is amenable to underground mining. And also, we have defined additional exploration targets for disseminated mineralization west of the non-resource. So that's a good news. And we will be advancing studies at the PEA level in the first half of this year at Tajitos. Now moving forward. And in this slide, you are seeing the advanced greenfield projects. Starting off with Rodeo, you'll just mention a few words before letting Daniel go into the details. Rodeo is also a disseminated deposit. It's not much a vein-type. It's a different style of mineralization hosted in volcanic rocks, which are thoroughly oxidized through depths in excess of 300 meters, which is -- allows for very good metallurgical recovery and also has good exploration potential, and we have four rigs spinning right now at Rodeo looking for additional mineralization at this project. So Daniel, would you like to continue on the plans?
Daniel Diezas: Yes, quickly around. As you can see, we have been making significant efforts in order to optimize and put more focus on the development of our project's portfolio. Rodeo is one example. It's an open pit, as Guillermo commented. During 2025, the focus of what we call an advanced PEA was on two fronts. The first one was extension and metallurgical drilling, and we successfully completed a campaign with 25,000 meters with good results. And the second objective was the metallurgical test work. That is the key for a Heap Leach operation. We completed that, very detailed test work for a PEA, and the results are quite promising. So we're very confident on what's coming for Rodeo. That just was completed in December this year -- last year. So we are starting by the end of this month, the PEA study for the optimization, and we expect to have that completed before the end of Q2 this year and hopefully start the PFS stage moving forward. What we expect out of Rodeo, it's a production for what we know now, we think we have a possibility to slightly increase. But what we know now is between 75,000 and 90,000 ounces of gold per year, potentially starting in 2029 with a life of mine of between 8 and 9 years.
Guillermo Gastelum: Then moving on to the next project, which is Guanajuato, Guanajuato Sur. Remember that Guanajuato is a historical mining district located in Central Mexico. But now we are exploring in new parts, new portions of this district where significant silver and gold veins have been discovered, brand-new structures, which were discovered by the use of epithermal methodology for going about exploring this type of deposits. And we had a very successful 2025 exploration results. So Tomas, would you like to comment on the progress work?
Tomas Iturriaga-Hidalgo: Thank you, Guillermo. So during 2025, we concluded conceptual level studies with excellent results. This is a high-grade silver-gold project, very strong on the financial side at the conceptual level, very well located, rather accessible land, flat land at a very mine-friendly state as Guanajuato. So we're very excited with the results of the conceptual studies. We have selected already the ramp development and shaft sinking technology. Those are the critical path items in the project. So, we have already selected the technology and we are proceeding with detailed engineering of those pieces of infrastructure. We will immediately continue to pre-feasibility level studies this year. And like I said, very, very interesting project. Potential is still open. The geological potential is still open at length and depth. So that's why Guillermo and his team are focusing very heavily on exploring the site. And the expected start of the production is by 2033 at this point. Do you want to comment Orisyvo, let me tackle that?
Guillermo Gastelum: Yes. Just let me mention about Orisyvo that is also significant that you've seen this name around for some time, is a significant disseminated gold deposit, the largest of its type ever discovered in Mexico. But fortunately, this system, which costs around 10 million ounces of gold has a core of higher rate, and that's been -- that we are targeting now. And that's -- about these studies, Tomas will continue on explaining.
Tomas Iturriaga-Hidalgo: Yes, Orisyvo. So this is a gold project up in the mountains in Chihuahua, as you know. During the year, we concluded the pre-feasibility A studies. And given the capital intensity of the project and some OpEx requirements, we decided to do a third-party review of that pre-feasibility A with very good results. We were able to -- during this review to improve the project economics. So we will continue to pre-feasibility B during the year and advanced permitting engineering, which at this point is a critical part of the project, the permits. So we are already on it. Expected average production of Orisyvo is between 180,000 and 220,000 ounces of gold a year, also with the start projected for 2033 at this point.
Guillermo Gastelum: Okay. I will finalize this section just by adding a few words on Novador. One of the targets when we get up to Val d'Or, and after the acquisition, it was not to disrupt the activities that were in progress. So we were able to continue the exploration drilling. As I said, we have six rigs now in operation and also a very strong focus, of course, on the development of Novador. And for that reason, we have a number of consultants, which are supported by Fresnillo's technical services team to continue to advance the pre-feasibility level studies. So we are expecting results of the pre-feasibility by midyear, around July. And a little mistake there, production is scheduled to commence in 2032. So I think with this, I will hand the microphone over to Mario Arreguin.
Mario Arreguín: Thank you, Guillermo, and good morning to all of you. So, it's always a pleasure to be back here in London and to have the opportunity to share with you our financial numbers, especially when those numbers are record high numbers. So it's easier. As you can see in the lines which are highlighted in yellow, gross profit was above last year by 114%. Operating profit was 142% above last year. Profit for the period was almost 600% above last year and EBITDA was above 81% last year. So very, very good numbers. But let me start with gross profit. Again, as you can see, we were up by $1.4 billion. And here, what I would like to touch on are basically two line items. One has to do with adjusted revenues, which grew up by $1 billion. And that combined with the fact that we have a lower adjusted production cost compared to last year of almost 11%. Well, that resulted in great margins for us. So let me start again with adjusted revenues. Okay. As you can see from this slide, in terms of sales volumes, as expected, and this was included in our guidance. Volumes sold were lower compared to last year. In the case of silver, we sold 11% less, which had a negative effect of $293 million. We sold less gold by 4.5% compared to last year, which had a negative effect of $94 million. So in general terms, in terms of sales volume, the total effect was a negative $429 million. Fortunately, that was more than compensated by the higher average prices that we saw both in gold and silver. In the case of silver, (sic) [ gold, ] silver (sic) [ gold ] went up by 44%, the average price, which had a very positive effect, of almost $651 million. And silver went up by 51.5%. As a matter of fact, the average price of silver (sic) [ gold ] last year was $43.6. And currently, the spot price is almost twice that for this year. So things are looking good. And like I said, that had a positive effect of $781 million. Let me share with you the main reasons behind the decrease in the adjusted production cost. And let me start first with the factors that are outside of our control. For example, in column #5, you will see the favorable impact that the devaluation of the Mexican peso had. We're talking here about the average exchange rate for both years. So the average exchange rate in 2024 was MXN 18.3 per dollar. And in 2024, (sic) [ 2025, ] it was MXN 19.22. So that translated into a 5.1% devaluation, again in terms of average exchange rate. Because I'm sure you've all seen that the peso has been coming down quite substantially throughout the year. However, what we take into consideration is the average exchange rate. So that had a positive effect of reducing our cost by almost $52 million. Now when you combine that with the other factor, which is outside of our control, which is basically shown in graph #1, cost inflation, excluding the effect of the exchange rate was 3.2%, that had a negative effect of $45.8 million, which pretty much offset the benefit of the devaluation. But still, net, we had a positive effect. And let me just go back to the previous slide. This is what we call our consolidated cost inflation, which basically takes into consideration our own consolidated basket of goods and services. And when you combine the two effects, the exchange rate effect together with inflation, this is what we obtained for 2025, a 0.24% deflation, if you will. So fortunately, for us, in 2025, inflation was not an issue when you look at it in dollar terms. So to sum it up, when you look at the increase in gross profit of approximately $1.4 billion, there are two bars that stand out here. Clearly, prices, the higher prices shown on the #1 column, had the most important impact, which was estimated at $1.4 billion. And again, if you look at bar #9, that was a bit offset by the lower sales volume that I just mentioned. Other favorable aspects were the lower depreciation that had a benefit of $129 million. The lower treatment and refining charges, which are worth mentioning because it's been a very favorable market for us, and that had a positive effect of $60 million. The devaluation, which I already mentioned, $52 million. And the rest are smaller numbers, but you can see them in the graph there. Let me just go back to the income statement to comment on a couple of line items. I'm not going to go through each one of them, but worth mentioning here perhaps is the exploration expenses line, which was $174 million. I would say, invested in exploration, which was 6% higher compared to that last year, and that was again expected. Actually, we were below what we had budgeted of close to $187 million. And one additional line item that I would like to comment on is the income tax expense. And I guess maybe some of you may be wondering why income tax expense decreased by 19% when profit before income tax increased by almost 180%. That's a bit strange for some. And the answer to that is, and I'm sure you're familiar with this now because this has been happening for some years now, is the effect of the exchange rate on the deferred taxes. For example, in 2024, if you look at the $390 million tax expense that we recognized in that year, this is equivalent to an effective tax rate of 52.5%, which is way above the 30% statutory tax rate. What happened there? Well, we had an initial exchange rate back then in 2024, at the beginning of the year of MXN 16.9 per dollar and a year-end exchange rate of MXN 20.8 per dollar. So we had an important devaluation, which resulted in this effect in recognizing a 52.5% effective tax rate. Whereas in 2025, we had exactly the opposite effect. The beginning exchange rate was MXN 20.8 and the year-end exchange rate was close to MXN 18. So that's the reason why you see this effect. The exchange rate is generating a lot of volatility in this line item. And I guess, it's bit difficult for my friends, analysts to be able to predict this. You would need to have a lot of information in order to model this. But I just wanted you to be aware of this. Moving now to the cash flow statement. Okay. So what I would like to point out here is basically in the first column at the bottom, a record high cash balance at the end of the year of almost $2.8 billion, which compared to our initial cash balance of almost $1.3 billion that resulted in a net increase of almost $1.46 billion. Main source of cash, of course, is the top line, the operations, which generated $2.8 billion, almost 80% higher compared to last year. I think it's worthwhile commenting on some of the main uses of cash. And of course, one that I believe you would be interested in getting a little bit more detail would be the third line, which is income tax special mining rights. And as you can see, we had a very important increase from $97 million in 2024 to $369.5 million this year. Let me just remind you that in this particular line, we have three items that make most of this. One has to do with the provisional tax payments that are done on a monthly basis from January to December and which is basically an advanced payment of taxes related to 2025. That alone was $250 million compared to the previous year, which was only $98 million. The other item, which is important is the year-end tax return that we do in March and which is related to the previous year. So what you do is you calculate your taxes and net the previous year provisional tax payments and you only pay the net amount. So in March 2025, we paid $72 million corresponding to the 2024 fiscal year. compared to only $5.4 million in 2024. And last but not least, is the special mining right corresponding to 2024 again, but it's paid in March 2025. And here, we're talking about $63 million. So those are the three main items which confirm this number here. I do want to make you aware that in 2026, provisional tax payments will be higher. Remember, provisional tax payments is a factor that you apply to your revenues. So with higher prices, higher revenues and a higher factor, because it will be based on the 2025 tax payments, you can expect to see higher provisional tax payments. And in March, when we conclude our tax return for 2025, the provision tax payments that we made in '25 will not be sufficient to cover the year-end final calculations. So you can expect that in March, we will have a very important cash out to pay for taxes, just to make you aware of that. Of course, another important use of cash was CapEx, $400 million. Dividends paid to our friends at Pan American in December, $105 million, minority shareholders of our Juanicipio project. And of course, dividends paid to our majority shareholders of $654 million. Lastly, and to close, I never make many or any comments on our balance sheet. But I thought it would be worthwhile pointing out the line that you see in yellow there, which is basically short-term liabilities, which grew quite substantially from $339 million to $903 million, almost $500-and-so million, and that's precisely related to tax payments that we will make next year. So again, just to make you aware of that, so you can include that in your cash flow projections. Other than that, very sound balance sheet, of course. And now moving on to something that I think is more of your interest, which is capital allocation. Let me start by saying that our dividend policy remains unchanged. And you know our dividend policy has been historically since we did the IPO to pay out between 33% to 50% of our profit after tax, after making certain adjustments, of course. But even though we have that range, we should point out that we have always paid a dividend of at least 50% or more. So that range is really just conceptual because we have paid at least 50%. In 2025, we have just announced a total dividend of $950 million, which is above our traditional dividend policy. In other words, it's above our 50% policy. And this is made up of $797 million final dividend that we just announced, together with the $153 million interim dividend that was paid back in September last year. So as I just mentioned, we closed the year with $2.76 billion. But just bear in mind that some of the important uses of funds that we see -- of course, payment of the final dividend, which will be made in May of approximately $800 million. Our CapEx budget for this year is $765 million. The acquisition of Probe Gold, which was paid in January this year, required $550 million. And our exploration budget for this year is $308 million. So that adds up to an important amount of money. Just to continue with capital allocation. Over the next 5 years, we are prepared to invest around $3 billion in growth projects to align with our project time line. These are basically all the projects that you are familiar with in our pipeline. And just in the next 5 years, if everything goes as planned, we would be requiring around $3 billion. Of course, we will continue to analyze opportunistic acquisition targets with a long-term view and in accordance with our very strict returns criteria. We will follow a criteria similar to the one that we applied when we purchased Probe Gold, right? And in line with market expectations, we remain bullish on precious metal prices, although our balance sheet strength and cash generation ensure we are prepared for the cyclical nature of prices. You never know when those prices may come down, and we need to be prepared just in case. And lastly, we maintain our disciplined approach to capital allocation. And if the strong price environment persists by year-end, we are committed to shareholder returns. So with that, I will pass it on to, I believe, Octavio.
Octavio Alvidréz: Thank you, Mario. Just a few words on our outlook before turning to your questions. And as we see here, I mean, 2026, we see it as a transition year, very specific aspects that have affected our guidance for silver in 2026, as Tomas mentioned, in the Fresnillo district. Fresnillo, we are preparing zone of the area in the mine. And this year, we are not bringing those higher grades from that area. And also the connection of the Saucito shaft in addition to what Daniel mentioned also in Cienega, Cienega is turning into more of a gold mine than silver, a lower production there. But then after having that or be better prepared in Fresnillo and with the connection of the Saucito shaft, we are expecting to increase the silver production '27 and '28. Gold as well, another transition year, I would say, in the Herradura district. But the good thing is that in 2027 and 2028, we are expecting to bring brownfield project production that has the best returns, lower investment and those ounces will be there through Valles and Noche Buena as well. As well as higher production in Herradura. As you can see on the base metal side, I mean, higher zinc production coming out of the Fresnillo district as we go to deeper areas as well. On the CapEx side, and Mario mentioned part of that. I mean, we are preparing or making additional investments across our mines, as well timely so that we continue to have a strong position and a strong production outlooks at each one of the mines. As we mentioned, we are also increasing in 2027 and 2028. In the following years, '27 and '28, lower CapEx expected. And as you can see here, I mean, we have adjusted our timetable for the different projects described by Tomas, Daniel and Guillermo. This is a more sensible table or time table according to longer permitting process in Mexico. But as we stated that 2 years ago, our focus was going to bring initially brownfield production. And you see reflected production from Valles, Noche Buena, and whenever we are at a deeper area in Herradura pit as well and bringing stronger projects in Rodeo, Tajitos by '29-'30. And Novador is reflected there, as Guillermo mentioned, the outlook to bring that into production, Orisyvo and Guanajuato. I would like to finalize this chart by saying that one more of our very important strategies is to operate in districts, in which we can be operating for many years. We have, as you know, the Fresnillo district, Fresnillo Saucito and Juanicipio for many years. The Herradura cluster of the Herradura district as well is proven to be the case, a strong gold production. In the future, we have Guanajuato in which we have identified, as Guillermo mentioned, not only the project, Guanajuato Sur, but also several targets from the historic areas of Guanajuato into the south to our project. And one more is Novador. Novador is coming not only with those 10 million ounces in resources, 8 of those in the Novador project, but also a large exploration package that has identified already some exploration targets for many years to be explored as well. Just to conclude, I mean, we have record financial performance for Fresnillo this year. We have been able to capitalize on a higher precious metals price environment with a stable production performance, combined with a strong cost control for 2 years despite inflationary pressures. As a result, we have delivered considerable shareholder returns, including a record dividend payout in 2026 of $950 million. We are also making good progress on our brownfield development pipeline with the ounces that provide a better return. And we are also advancing the greenfields, as we mentioned. And with that, I would like to turn to your questions. Yes, Jason?
Jason Fairclough: Jason Fairclough, Bank of America. A couple of questions, one for Mario and then one for Tomas. Mario, I mean, strong numbers. And then on top of that, it was a big beat versus consensus. And it just seems to be in the revenue line. And I think maybe part of that is TC/RCs. Maybe we didn't realize how much better they were getting for you. But is there something else going on in the revenue line there? Did you sell more metal than you produced?
Tomas Iturriaga-Hidalgo: No, we did not sell. If you look at the variation in inventories, actually, it increased. So we didn't sell more than...
Jason Fairclough: Was it provisional pricing then or...
Mario Arreguín: It's purely pricing. Purely pricing. As you saw, actually, we produced less, sold less volume. So the real reason behind our revenue increase is prices.
Jason Fairclough: And in terms of the TC/RCs, is this the new normal? Or could they go down further?
Mario Arreguín: Well, it's hard to predict how treatment charges are going to behave. But during the last 3 years, we've seen a downward trend, pushed a lot by the Chinese. It's putting a lot of pressure. And one of the things that we are concerned about, that you mentioned it, is the possibility of this continuing and the Chinese getting more market participation. And if some of the smelting and refining companies go out of business and with the Chinese have all the -- gather all the basically all the volume that might have a very unfavorable and sudden change. So we have to watch this very carefully.
Jason Fairclough: Just a quick one...
Octavio Alvidréz: That is correct, Jason. And I would say, I mean, that trend, as Mario mentioned, continues. We operate on a long-term agreement with Met-Mex. And when you compare -- I mean, those long-term agreement treatment charges and refining charges for silver continue to trend lower, but it's still a difference to the spot treatment charges that are quite very different.
Jason Fairclough: Just to add, Tomas, a quick one. So quite a different trend in cost per tonne between Saucito and Fresnillo. I think Fresnillo was up 17% year-on-year and then Saucito down 10% year-on-year. Again, is this the new normal? Or is there some one-off effects in here?
Tomas Iturriaga-Hidalgo: I would say Saucito is a one-off, and we're going to see probably a bit of an increase this year because of the cost related to hauling while we interconnect the shaft. And Fresnillo tends to be normalizing at those levels.
Jason Fairclough: So we should think about it being normalized at these new higher levels, cost per tonne, even by volume?
Tomas Iturriaga-Hidalgo: Yes. The volume is impacting and that's a normal level.
Octavio Alvidréz: Daniel?
Daniel Major: Dan Major from UBS. First question, just looking at the project pipeline and your outlook for CapEx. It seems like, again, we appreciate the more details on the projects. But if I look at Page 38 and 39, those of us that have been following the company for some time, these charts look fairly familiar. And then most years, the one on Page 39 moves a little bit further to the right, and really the Canadian projects, any new one in there. I guess the first part of the question, what is included in your CapEx guidance, production guidance in terms of the pipeline of projects? Is it just the two brownfields that are entering production? Or what else have you factored in? And then I guess to add to that, you've identified $3 billion of potential spend. What is -- how much of that is included in your CapEx projections for '26 to '28 already? And how much is incremental upside, assuming the projects move forward?
Octavio Alvidréz: Yes, you're right. I mean, as I mentioned it, I mean, this is a more sensible thing in terms of timing, how to develop the next projects. But as we have stressed and we are achieving that, initially, as we were realizing the greenfield projects were going to be -- take a bit longer to be developed, we prioritized the brownfield production, Valles and Noche Buena, which is a good surprise. And then a more sensible approach to the rest of the greenfields. So on the CapEx side, in 2026, we have the shaft connection in Saucito. We have leaching pads in Herradura and the carbon project, the carbon recovery gold project in Herradura and also the conveyor belt in Juanicipio. Also, we continue to put some studies and in Orisyvo and also in Guanajuato Sur as well, as Daniel mentioned, that is included there. But the only one CapEx investment reflected in 2026 that will provide additional production is what we are investing in Valles in 2026.
Daniel Major: Sorry, just to follow up on that. So if Valles is the only one out of the $3 billion bucket, is it fair to say that if the projects progress as you suggest, you've got sort of $600 million, $800 million per annum upside to what you're guiding in CapEx out to 2030? Is that the right way we should be thinking about it?
Octavio Alvidréz: The right way to see it is with the time line of projects, for example, Rodeo, which is pointing to the start of production in 2029, 2 years or 1.5 years, you will start to see the deployment of the CapEx that we will provide at some other time, at Tajitos as well. But I mean the large majority of that CapEx that Mario mentioned would go with the higher CapEx projects such as Orisyvo, Guanajuato, Novador at that time, yes, in some 4 years, 5 years to come.
Daniel Major: All right. And then just next question, one for Mario. On the tax side, quite complicated. Could you just provide us some more basic guidance? What would you expect cash tax and P&L effective tax rate to be in 2026 if current prices stay the same?
Mario Arreguín: I would expect in terms of income tax recognized in our income statement. Again, it depends on the exchange rate. And I've been very much surprised by the strength of the Mexican peso. As you can see, currently, it's around MXN 17.4 -- MXN 17.3 per dollar. So if that continues to be the case and it remains strong, then you will see, again, another revaluation of the Mexican peso this year. So that might have, as a consequence, again, a lower effective tax rate compared to the 30% statutory tax rate. But having said that, you never know. We've seen some volatility if the peso at the end of the year because what you take into consideration is basically the end of the year spot exchange rate. It depends on that. But assuming no exchange rate effect, zero, which is a very important assumption, then we would expect to see something close to 30% effective tax rate.
Daniel Major: And the cash tax, I noticed that the increase in provisional tax payments increased by $565 million.
Mario Arreguín: Cash tax. Okay. As I mentioned, we will be finalizing our tax return in March this year for the 2025 fiscal year. And there, just for that, we are expecting something close to $500 million just to add to the provisional taxes that were paid in 2025. That's related to that year. Now during 2026 from January to December, we will be paying the provisional tax payments as an advanced tax for the 2026 fiscal year. And those are going to go up quite substantially. Why? Because of the higher prices? I said this is a factor or a percentage that you apply on revenue. If we foresee the current spot prices being maintained throughout the year, that will translate into higher revenue with a higher factor, so higher provisional tax payments. That will have an effect on the cash flow, not in the income statement though.
Daniel Major: Okay. So somewhere in the region of $500 million cash tax more than the P&L tax. Is that the simple way of thinking about it?
Mario Arreguín: $500 million more?
Daniel Major: Yes. Additional cash tax to the P&L tax?
Mario Arreguín: Yes.
Marina Calero Ródenas: Marina Calero from RBC. A couple of questions on my side. Can you give us a bit more color on the trends that you're seeing in your sustaining CapEx? Is it fair to assume that $600 million is the new normal you need for to sustain production at your operations?
Octavio Alvidréz: For 2026?
Marina Calero Ródenas: Yes, and going forward as well.
Octavio Alvidréz: And going forward. Yes, for 2026, let me -- I mean, as you know, I mean, the majority is mining works. And that has not varied because the development rates at our mines, underground mines keep at a similar level, approximately $180 million, sustaining, $250 million to $280 million more or less. Tailings dams, I mean, that's a large part of our investments every year. In 2026, we continue to do tailings at Saucito, at Fresnillo, Herradura as well. So that's a large investment, approximately $150 million or so. Then the projects that I mentioned at Saucito, Herradura and Juanicipio, very much, I mean, you -- and then the investment for brownfields and greenfields, as I mentioned, is Valles, some in Orisyvo and some in Guanajuato. Yes. And then after, I mean, as we have already in 2026, invested in tailings dams, that will -- CapEx will decrease in 2027 and 2028. The connection of the shafts and the other conveyor belts and everything, I mean, we will not have that, and that's why the CapEx goes a bit lower and also a sustaining part as well.
Marina Calero Ródenas: Just one follow-up on that. If I recall correctly, your old guidance was roughly $500 million for this year. How do you explain the difference to the $760 million that you're guiding today?
Octavio Alvidréz: Yes. What we used to mention before was for the set of operating mines, sustaining and mining works and everything should be around $500 million, $550 million per year.
Daniel Diezas: Marina, on the addition of Valles to the portfolio that is already included in these numbers. It requires around $40 million per year in mine development just in Valles. So that tops off on the $500 million guidance that we provided before.
Marina Calero Ródenas: Okay. That's very helpful. And just one final question. On M&A, you commented that you keep looking for opportunities. In which jurisdictions are you finding more compelling opportunities? Is it Mexico more attractive relative to the rest of the world? How are you thinking about that?
Octavio Alvidréz: Yes. We continue to see the projects in Mexico. There are some good discoveries in silver. We continue to see mostly in countries with geological potential, of course, and the mining culture. You know that we've been exploring in Peru and Chile for quite some time. This year, we are starting drilling in Peru in some of our very interesting projects there. But for M&A, we continue and we've looked in Canada. And as we mentioned, I mean, we had a very good acquisition there. Canada is one of those countries with good exploration potential, mining culture. In the U.S., we've seen some in the past. I mean, but given -- Novador is a very good example of what we try to do. It has to be value accretive, of course, has to have some exploration potential. We have looked in those -- in the recent 2 to 3 years, some operating mines. However, given the expectation on the current record metal prices, I mean, the prices paid for those assets have been out of our expectation for value creation. So we continue to look. We will continue to look, but under a very disciplined approach as well.
Unknown Analyst: This is Fernando of Morgan Stanley. A question on the portfolio mix. So we see a very high gold focus in your pipeline and also we have the Probe Gold acquisition. So are these things reflective of a broader strategy to increase the exposure to gold in your portfolio going forward?
Octavio Alvidréz: Well, that has happened through times. If we look back at what we did from 2008 to 2018, initially, we grew faster on the gold side, bringing into production Noche Buena and then Soledad-Dipolos at that time. Then after we had Saucito that took longer to be developed, vein system there, the expansion of Saucito. So it depends on the portfolio we have. From what we have reflected in the chart, yes, you're right. The brownfields will come first, Valles and Noche Buena, then after Rodeo and Tajitos, because those are not complex -- so complex projects to be developed and the larger investments in terms of silver will come with Guanajuato. And that's because we -- the veins and the values start what, 600, 700 meters below.
Guillermo Gastelum: Around 500 meters below the surface.
Octavio Alvidréz: It takes time.
Amos Fletcher: It's Amos Fletcher from Barclays. I just wanted to ask a couple of questions. First one was just on cost inflation guidance. Mario, what would you be guiding us to in terms of dollar per tonne milled for 2026 inflation, excluding the impact of the peso?
Mario Arreguín: Typically, when you have such huge increases in the price of gold and silver, following that, you see some sort of inflationary pressure. For budgeting purpose, what we have considered for 2026 is approximately a 6% increase in cost inflation. But again, we are in a very volatile environment. But if you're asking me what we're expecting, it would be somewhere close to 6%.
Amos Fletcher: Okay. And then I just wanted to ask also, you've obviously given the list of potential projects on Page 39. Could you give us sort of indicative CapEx numbers for each of those projects to the extent they're available?
Mario Arreguín: Yes. Yes, I can give you a bit more flavor on that. Bear with me for a second.
Octavio Alvidréz: You have to realize, before Mario, that these projects are at different stages, of course. And according to that stage, we have the plus/minus percentage in terms of CapEx and everything. Go ahead, Mario, please.
Mario Arreguín: Yes. Thank you. So here, I'm going to talk only about Orisyvo, Rodeo, Guanajuato Sur, Novador and the possibility of bringing back Soledad-Dipolos to operation. So considering those projects, for example, in 2027, in total, we're expecting there something around $250 million just on those projects alone. And in 2028, around $560 million. In 2029, somewhere around $800 million, just for those projects, excluding sustaining CapEx.
Amos Fletcher: Okay. And then one final follow-up, I guess, was just to ask from the sort of the CapEx guidance you've given on Page 38. Just to clarify, I guess, what projects are included in that guidance?
Octavio Alvidréz: This is only CapEx for the current operations. There is no CapEx for projects there with the exception of 2027 for Valles, that I mentioned and a bit for Orisyvo and Guanajuato. Jason?
Jason Fairclough: Slightly bigger picture question. So we're starting to see people increase the metal prices that they're using to calculate reserves and resources and also increase the metal prices they're using for mine planning. Can you just remind us what you're using to calculate your reserves for gold and silver? And how do you think about potential changes to your operating philosophy at some of the mines? Is it time to allow for more dilution?
Octavio Alvidréz: Do you want to mention the prices? The answer is no. What is the question, Jason? But let me -- for the resources and reserves that have been reflected in this statement, we use for reserves $2,102.650 and for resources $2,300.030. Those are the ones in the statement. We are -- we are starting that process again, and we are increasing those up to $2,800 gold for resources and $33 for silver for reserves and $30.35 for resources. And to your question, I mean, dilution is always a killer. I mean, when you dilute, of course, that tonne does not come with any value. So despite the fact that the higher prices will give us the possibility to mine profitably what used to be marginal blocks now are economic, but reducing dilution as much as possible.
Jason Fairclough: Are you able to give us any color on the sensitivity of the reserves and resources to change in the prices? So for example, if you raise your long-term gold price from $3,000 to $4,000, how much do reserves increase by?
Octavio Alvidréz: If you want to comment, also memo, in the Fresnillo district, the value per tonne of ore is above -- well above the cost that we have right now. So it will not bring a huge increase whenever we use higher prices. When we will see sensible ore will be probably in Cienega, a bit more help there. San Julian probably.
Daniel Diezas: Marginal, I would say the main impact it's around the Herradura when you increase the price, size of the pit. And as mentioned during the presentation, the exercise of finding the right transition moment between underground and open pit is exactly that. Now the pit grows significantly. However, those are ounces that would come online in 2050 or beyond that. So we are in that trade-off of when is the better timing to bring production forward from the underground with higher rates.
Guillermo Gastelum: I will just reinforce what Daniel said is the resources and reserves will be more sensitive in the -- for the open pit, the disseminated deposit that we just described for you. However, we're reaching -- it doesn't matter how much higher you go, there is a limit to the geology. I mean, and to grade. So there's nothing further to add once we get to extremely high prices. And also in the underground operations, some of the narrow veins or lower vein material may be back into resources. But I don't know if in reserves because a more deeper analysis is required as to what sort of infrastructure and services are required to reach some sections of the mine that were left for some reason. So it all comes to the detailed engineering work for the reserves, no matter how the prices may go high, because it will give you less margin if we force things to be mined out just because at any given scenario, it turn economic, but the margin will decrease significantly.
Daniel Major: Dan from UBS again. Just to kind of follow-up on Jason's question. What is the projected cost of production and the restart at Noche Buena?
Daniel Diezas: We expect between $2,100 and $2,200 all in.
Daniel Major: Yes. Okay. And sorry, I could probably take it offline, but I didn't actually catch. The first set of numbers of $2,100 and $2,300 for gold reserves and resources. Is that what you use for your 2025 calculation? And then the second set of numbers are what you're considering for your '26?
Octavio Alvidréz: That's correct. Yes.
Daniel Major: Okay. And then just a final one on the balance sheet and capital returns. You obviously, healthy payout this year. You've outlined the Probe Gold acquisition, more capital, more projects. Is there a threshold of net debt or cash on the balance sheet above which you'd pay out 100% of free cash flow?
Octavio Alvidréz: Mario?
Mario Arreguín: That's a decision for the Board to make, but we want to make sure that we have sufficient funds to be able to fund all of the $3 billion pipeline that we have defined. And what we -- what I can tell you is that definitely by year-end, if prices do remain where they are, we will definitely have a much bigger cash balance, and we will reevaluate again the possibility of paying an extraordinary special dividend. That I can tell you. How much? That's for the Board to decide.
Octavio Alvidréz: All right. Thank you very much for joining us today. Thank you, guys.